Operator: Welcome, and thank you for joining the Credit Agricole Third Quarter and First 9 Months of 2024 Results Presentation.[Operator Instructions] At this time, I would like to turn the conference over to Mr. Jerome Grivet, Deputy Chief Executive Officer. Please go ahead, sir.
Jerome Grivet: Thank you very much. Good morning, everyone, and I'm happy to share with you the results that we are publishing this morning. Again, we are publishing very good results on the third quarter of 2024. And to put it in a nutshell, they are very close to the results we've posted for the second quarter of the same year. Net profit at Credit Agricole S.A. for the first 9 months of the year stands at EUR 5.4 billion, and it's EUR 1.7 billion for the third quarter only. It's apparently down around 4.7% Q3-on-Q3, but restated from a reversal of Home Purchase Savings Plan provisions that we had booked and commented last year, actually, the net profit of Credit Agricole S.A. this quarter is up 8.2%. In addition to that, we can mention the fact that for the first 9 months of the year, we continued to have a very, very good cost/income ratio, 54.4%; a return on tangible equity, which continues to be comfortably above the target of 12% at 14.5%. And the last point on this first page, we have a CET1 ratio, which is up 10 bps at 11.7%. On the following page, Page 5, you have the main figures both for the group and for Credit Agricole S.A. Maybe just a few comments simply on the first 9 months of the year for the group, net profit is stable for the first 9 months of the year. But actually, again, restated from this specific reversal of provision that we had booked last year, the net profit is up 4% -- around 4% for the group in the first 9 months of the year. And when it comes to Credit Agricole S.A., again, restated from the same element, the net profit on the first 9 months would have been up 12.2%. Maybe just 2 additional elements on this page. The cost of risk, and we will comment it a little bit more in detail later in the presentation, but it's more or less stable at a moderate level, both for the group and for Credit Agricole S.A. And then last point, the CET1 ratio for the group is also up 10 bps on the quarter at 17.4%. On Page 6, some elements regarding the activity of the quarter. To again, summarize very shortly what happened in the quarter, we can say that we continue to demonstrate the efficiency of our model. We are -- the development of the customer basis of all the regional banks and all the retail banks of the group is fueling and continues to fuel the growth of the business lines. And the growth and the development of the business line is also fueling the attractivity of the retail banks of the group, thus, enhancing further the customer capture. And this quarter, again, we've managed to attract close to 500,000 new customers in the different retail banks of the group in Europe with a net increase of the customer base by more than 100,000 customers. The development of the retail-related activities was quite solid in the quarter, and maybe we can mention the fact that home loans start to rebound in France with a significant increase, both for the regional banks and for LCL in Q3 as compared to Q2. And when it comes to the large customers' activities, CIB, asset management and also insurance, it's been a very strong quarter of activity in the third quarter of this year. And amongst the different elements I can name, we can mention the fact that Amundi is reaching again a record level of assets under management. There has been also a record level of revenues at CACIB and the assets administered by CACEIS continues to be up this quarter. If I dig a little bit on the revenues on Page 8. Let me start with the left-hand side bar chart of the page. The underlying revenues are up 7% on the quarter, plus EUR 425 million. And if we analyze a little bit the way it's been performed by the different business lines, we can mention that on the asset-gathering activities, it's sharply up, plus EUR 214 million. Of course, it benefits from the integration of Degroof Petercam within Indosuez. But nevertheless, you've seen that Amundi is posting a strong increase in its revenues. You've been -- you've seen the publication of Amundi last week. It's only the insurance activities, and maybe we will answer questions on this point, that have more or less stable revenues on this quarter despite the fact that Credit Agricole Assurance is posting a sharp increase in its bottom line for some technical reasons we can detail. On the Large Customers activities, both CACIB and CACEIS are posting a sharp increase in their revenues, no scope effect this quarter. And so the increase of EUR 166 million in top line is only organic. In the Specialised Financial Services division, it's more or less stable for the quarter. It's linked to the fact that within Credit Agricole Personal Finance and Mobility, we continue to lag a little bit in terms of margin after the sharp increase in rates back last year and also end of 2022. You know that it's been a little bit long before we were able to pass to the customers this increase in refinancing rate. So the margin for the new loans continued to improve, but it's not completely the case for the margin on globally the whole outstanding. In retail banking activities, apparently a small decrease in the level of revenues, minus EUR 36 million, but actually restated from the reversal of Home Purchase Savings Plan provision at LCL of EUR 52 million. It's globally slightly up for the division, which is a combination of revenues up at LCL, revenues up at the international retail banking entities outside Italia and a slight decrease within Credit Agricole Italia in connection with the decrease in market rates. And then lastly, the Corporate Centre, apparently a sharp decrease in the level of revenues, minus EUR 187 million. But actually also here, we have this base effect in connection with the Home Purchase Savings Plan provision reversal, which was EUR 230 million back last year. So it means that restated from this element, revenues at the Corporate Centre are significantly up. On the right-hand side of this page, you can see that we continued to post a sharp increase in revenues Q3-after-Q3. And over the course of the last 7 years, it's an increase by around 40% that we've been able to post. On the following page, a little zoom on the cost line. If we look at the evolution of the underlying cost line on the bar chart on the left-hand side of the page, you see a significant decrease, plus 8.2%. But what you see on the analysis provided on the right-hand side of the page is that you have to deduct 3 significant elements from this increase in order to assess the recurring evolution of the cost line. The first element is clearly the scope effect in connection with the integration of Degroof Petercam. It's an additional cost base of EUR 112 million that is sitting within Indosuez this quarter. The second element is that both at Indosuez and also at CACEIS, we have some integration costs that are specific to this period of integration and that's not going to stand forever within our cost base, around EUR 30 million. And then the last point is that last year, we had also one-off in the cost line, but a positive one-off in the cost line, which was the reversal of bank levy in the U.K. for EUR 30 million. So outside these 3 elements, the evolution of the recurring cost base is only up EUR 141 million over the quarter. It's an increase of 4.1%, and interestingly, it's a significant deceleration as compared to the same recurring increase that we posted in the second quarter of this year, which was at 5.7%. On Page 10, some elements on the cost of risk for Credit Agricole S.A. The level -- the overall level of the cost of risk is very stable, both compared to Q3 '23 and also to Q2 '24, even slightly down as compared to Q2 '24. This is, of course, the combination of different evolutions and different levels of cost of risk in the different business lines. To really summarize what we can say is that at CACIB, the cost of risk continues to be stable at a very, very low level, around EUR 15 million of net cost of risk at CACIB. The cost of risk is also stable at more -- a higher level, of course, within the Specialised Financial Services division, especially in the consumer credit business line. But in terms of bps compared to the outstanding, it continues to slightly decrease. The cost of risk is a little bit up at LCL, both in absolute numbers and also in terms of bps as compared to the  outstandings. And you would see the same type of evolution within the Regional Banks. So it means that in retail banking activities in France, especially for self-employed professionals and SMEs, we are continuing to see a slight increase in the cost of risk with an overall level, which continues to be, again, moderate compared to what we could have had back several years ago. And then in the international retail banking activities, the cost of risk is down quite significantly this quarter again. It's the case, very much the case, in Italy and it's also the case in the other international retail banking entities with, amongst other elements, a reversal of provision at Credit Agricole Ukraine. In terms of NPL ratios, we continue to have a stable and low NPL ratio at CASA, 2.5% and even more at group level, 2.2%. Coverage ratios continued to be very high, above 70% at CASA and above 80% at the group level. Overall, and you will see that on Page 11, we are posting, again, very good results on this quarter. Net profit is up 10.9% on an underlying basis. This is what you can see on the left-hand side of the page with a net profit up in most business lines, especially restated from the Home Purchase Savings Plan provision reversal of last year. It's the case for the Asset Gathering division quite significantly. It's also the case for the Large Customers division. Net profit is more or less stable in the Specialised Financial Services division and retail banking activities if you restate from the Home Purchase Saving Plan provision reversal plus a specific element at Credit Agricole Ukraine, which is the fact that the corporate tax rate has been increased in this country, and we are one-off this quarter complementing the corporate tax provision since the beginning of the year for an amount of EUR 40 million. This explains most of the apparent decrease of the net profit of the retail banking division. So all in all, a significant increase in the net profit -- underlying net profit and spread amongst most of the business lines. On the right-hand side of the page, what you can see is that excluding the Home Purchase Savings Plan provision reversal from 2023, we are posting a gross operating income, which is up a little bit more than EUR 100 million. And again, this net profit up EUR 126 million, plus 8.2%, again, excluding this element. So all in all, a good level of profitability and we continue to grow this level of profitability. On Page 12, some elements regarding the solvency starting with CASA. So as I told you, the solvency ratio, CET1 ratio is up 10 bps this quarter. Actually, it's a little bit more than 10 bps, close to 15 bps, but the rounding effect is leading to this 10 bps indication. Retained result is high, 19 bps of retained results solvency effect despite an additional reserve for the distribution of dividend of EUR 0.25 this quarter. So we have now EUR 0.83 of dividend accrued in our books at the end of the third quarter. The organic growth of the business line generated a consumption of solvency of 14 bps, but amongst that I have to mention that there is an increase of 5 bps in connection to the increase in the carrying value of the insurance activities, which did not upstream any dividend or dividend element this quarter. So of course, you know that every time the insurance activities are upstreaming a dividend, it's reducing the carrying value and it's generating a significant reduction in the RWA consumption. And then we have this quarter some positive elements regarding OCI and other methodological elements. So this is leading to this 11.7% CET1 ratio at CASA level, plus 3.1 percentage points above the regulatory requirements. And at group level, we have a -- on the following page, a CET1 ratio, which stands at 17.4%, again, up 10 bps, and we have more or less the same elements explaining this improvement with a high level of retained results, a quite high level of organic growth of the RWA consumption by the business lines. Also this element regarding the insurance activities. Plus the fact that both at the level of the regional banks and LCL, we have an increase in the Corporate segment of the RWA consumption in connection with some down ratings of some counterparts, which is, of course, perfectly correlated with what I said about the cost of risk. The other solvency ratios, be it the leverage ratio, TLAC or MREL are comfortably also above the requirements. On the following page, Page 14, we have some elements regarding the liquidity position of the group. Liquidity reserves continued to be very high and there is a nonsignificant reduction of EUR 12 billion, but the level of EUR 466 billion, excuse me, of liquidity reserves is definitely significantly above our target of steering of this liquidity position and the different ratios that we publish both LCR and NSFR at both levels of CASA and the group continues to be very significantly above our target. We still have a tiny EUR 700 million of TLTRO to repay, but it's absolutely nonsignificant. And when it comes to customer deposits on the right-hand side of this page, the same comment that I did on the last quarter can be also made, which is that we are seeing a stabilization of the overall level of customer deposits. And also which is even better for the average cost of our customer liabilities, we are seeing a stabilization also of the breakdown of the different customer deposits between the different categories. On the following page, Page 15, you have the more detailed income statement for Credit Agricole S.A. I think I will not comment this detailed P&L in the initial presentation, but of course, happy to answer questions, if any. And maybe before concluding this introduction, some elements regarding our continued support of the energy transition with new climate commitments that have been announced by Credit Agricole Assurance with an interesting element, which we comment today, which is the fact that we've entered into an agreement with Caisse des Dépôts in France. You know that we have to centralize at the Caisse des Dépôts a significant part of the regulatory savings accounts that we collect to the Caisse des Dépôts and Caisse des Dépôts has agreed to transfer back to us some liquidity collected on our regulated savings accounts with the condition, of course, that we finance green loans, green projects with this amount. So we've entered this agreement. And the Caisse des Dépôts is committed to upstream to us a little bit more than EUR 5 billion of liquidity in this scheme in the course of this year and next year. And then we provide also an update on the different KPIs that we follow in terms of the increase of the financing that we provide to the energy transition. So I will conclude this initial presentation simply by reiterating the fact that we confirm, helped by these good results of the third quarter of this year, that we are going to reach as soon as the end of this year all the final targets that we were initially pursuing for 2025. So amongst other elements, the target of being above EUR 6 billion of net profit in 2024 -- as soon as 2024. Thank you again. And I think we can now go to your questions.
Operator: [Operator Instructions] The first question comes from Giulia Aurora Miotto of Morgan Stanley.
Giulia Miotto: My first question goes to the French budget, the increase in taxes. I think Credit Agricole makes about 40% of its income in France. What sort of impact do you expect -- so is this correct? And what sort of impact do you expect coming from the increased corporate tax? That's the first question. And then secondly, more to the business. So insurance, insurance was a bit volatile this quarter due to crop impacts, crop insurance impact, if I understand it correctly, on a revenue basis. So how much can we extrapolate from that? I mean, given the climate change, maybe that's something that continues. And on a profit before tax, maybe, basis, does your usual guidance of mid-single-digit growth stand? Or how do you see the earnings evolving in Insurance?
Jerome Grivet: Thank you, Giulia. Two important questions indeed. First question regarding this additional corporate tax elements that the French government is targeting both for '24 and '25, if we understand correctly, with a rate that would be maximum in '24 and then a reduction in '25. So it's a little bit difficult to answer precisely your question about the impact, first, because we don't know exactly the rules. Second, because we don't know exactly what is going to be our taxable result basis for the full year of 2024 and especially in the context where actually we have different French taxpayers in the group because some subsidiaries of Credit Agricole S.A. are not integrated in our tax group, French tax group, because we do not own more than I think the threshold is 90% of them. It's the case for Amundi, on the one hand, and I think that Amundi has provided some guidance last week about the possible impact for them. And it's also the case for CACEIS, which has significant tax basis in France, but it's not part of the tax group because we own only 70% of CACEIS. So when it comes to the tax group, which gathers together CASA, the 100% subsidiaries plus also the regional banks, which are outside the listed vehicle, but they are in the same tax group. Just as a reminder, back in 2017, where the same type of mechanism was put in place, I think the total extra charge that we had to pay, but -- it was split between the regional banks and Credit Agricole S.A. was around EUR 300 million. So I'm not saying that this is going to be the same amount because many things have changed. But just for you to have an idea, tax group of Credit Agricole in France has paid around EUR 300 million back in 2017 and it was split between the regional banks and Credit Agricole S.A. and some of its subsidiaries. So that's the best answer I can provide you on this first topic. When it comes to insurance, again, we know that IFRS 17 did not help a lot in terms of providing clarity and a clear relationship between the economic evolution of the business and the different numbers, especially if we look only at the top line. When you look at the bottom line of Credit Agricole Assurance, what you can see is that on the quarter we are posting an increase of the net profit, which is plus 16%; and for the first 9 months of the year, it's plus 11%. So absolutely no worry from a net profit point of view. But then, of course, you have ups and downs in the different lines of the P&L. And we have had, I understand, questions this morning and the teams are ready to give us as much clarity as possible. On the top line, revenue line, some negative impacts. The first one is that indeed the P&C activities globally in connection with crop insurance posted a decrease in that contribution to the revenues this quarter because of some negative events, some claims this quarter in excess of what we had back 1 year ago. So that's one point and this can be volatile. But on this element, I would say that, of course, we think that considering the climate change, the level of claims can increase going forward. But at the same time, of course, year after year we are going to align the pricing in connection with the level of claims that we will have to manage each year. So definitely, this is going to lead to 2 type of consequences: an increase in the level of premium and possibly also an increase in the level of claims. But normally, economically, this shouldn't change too much the profitability of the business over time. Then we've had a second element which is very technical, which doesn't have anything to do with the evolution of the business. In its financial structure, Credit Agricole Assurance is progressively switching from AT1 debt that is issued in the market to Tier 2 debt, and it happens that the AT1 coupons are accounted for on the minority interest line, whereas the Tier 2 coupons are accounted for in the -- deducted actually from the revenue line. So this is a progressive shift you will see over time a decrease in the cost of the minority interest. And you will see at the same -- with the same magnitude a slight impact on the revenue line. In addition to that, every time there is a call on an AT1, there might be some lump sum that has been -- that has to be paid in the minority interest line. And so this is why this quarter we have an impact on the revenue line without having a benefit on the minority interest line. So we are not talking about massive amounts, but nevertheless, over time, this can represent some, let's say, EUR 15 million as a run rate on both lines. Then the last point, which is that we are progressively tuning the level of CSM allocation that we fuel into the  P&L And we've been reducing a little bit the level of CSM allocation. For the full year 2023, I think the CSM allocation rate was around 8.5%; and for the first 9 months of 2024, we are a little bit below 8%. So this is not massive. This is rather technical, I would say. This is actually -- it has a consequence, which is another significant increase in the level of CSM that we continue to keep to fuel the future profits and revenues. But this is also generating a slight impact on the top line. And then the last point, you know that within the management of the assets of Credit Agricole Assurance, from time to time we are able to materialize some capital gains, which may be impacted by a lower corporate tax rate than the average corporate tax rate. So this is why we have less corporate tax in the P&L of Credit Agricole Assurance this quarter, but also less revenues, both being connected. So this is the explanation why the top line is slightly down, but we are talking about minus 1.2% over the quarter and we are still up 5.5% over the first 9 months. And at the end of the day, what is important is, of course, the contribution of the business to the net profit of Credit Agricole S.A., and this continues to be up. And again, the guidance that we've provided, as long as the business continues to be positive, is clearly to be -- to go alongside with the evolution of the business.
Giulia Miotto: Just a clarification. On the first -- the tax, the EUR 300 million that you quoted for 2017, so we can take that, I mean, as the worst case scenario and it will be lower because that was split with the [ CASA regional ], I guess.
Jerome Grivet: Yes. And again, it's going to be split with the [ CASA regional ] because the [ CASA regional ] are the [indiscernible] and so they are contributing to this surcharge in tax.
Operator: The next question, sir, is from Guillaume Tiberghien of BNP Paribas.
Guillaume Tiberghien: Number one is on the insurance again. So you used to guide us for around 5% net profit growth. So should we like in the past forget the revenue volatility and just put 5% profit growth? The second element, back to the tax, I can understand that in '17 you paid EUR 300 million more, but your PBT this year is going to be like 50% or 60%. I'm not asking you to confirm that 50% or 60%, but the order of magnitude versus '17. So should we actually grow by a similar amount the tax that you're going to pay? And then a final clarification, if you don't mind. The RWA of LCL seem to have increased by EUR 1.6 billion this quarter on hardly any loan growth and loan growth was mostly on mortgages. Is there any change in model? And if so, is it going to be material going forward? Or is it just a one-off adjustment?
Jerome Grivet: RWA at LCL, the explanation is mostly the fact that part of their corporate exposure, and when I say corporate, it includes, of course, SMEs, has been downgraded in our internal model. So this is generating a surcharge in RWA, so this is normal volatility. And when the economic situation is getting a little worse, it's absolutely normal that we see some increase in the level of RWA without any evolution in the level of outstandings simply because of this downgrading. So we do not expect the same amount of increase every quarter, but clearly, this is in connection with what we see in terms of overall soundness of this segment of customers. And you have the same evolution within the regional banks, actually, with a more important number because of the size of the portfolio of the regional banks. When it comes to the tax -- the surcharge in the corporate tax in France, it's true that the overall profit of the group has significantly increased as compared to 2017. But nevertheless, I can guide you to the fact that a significant proportion of this increase was probably not linked to French-based activities. And then when it comes to insurance, again, my guidance is that the profit, the net profit, is going to grow alongside with the overall volume of business. So 5% is probably a decent guidance on the medium to long term. It can be higher on certain -- in a more specific period. And actually, what you've seen this year is that we are significantly above this 5% and again, this year, we've generated a higher pace of increase of the business with significant inflows, net inflows, in savings and retirement businesses and P&C activities that were significantly up also in terms of new contracts, new policies and volume of premium.
Operator: The next question is from Tarik El Mejjad of Bank of America.
Tarik El Mejjad: Just two questions for me, please. I'll take a small step back and look at your profitability in 9 months, close to 15% or 14.5%. I don't expect any major headwind in Q4, actually quite the opposite with some businesses turning the corner and growing faster. So why not actually looking more constructive in terms of outlook? I mean, we're not asking for a new plan. But actually, you brought forward the full year, above EUR 6 billion net profit pre-AT1 from '25 to '24  as was last quarter. But I mean, what prevents you at this stage to be more constructive on this? And then the second question is on the M&A. You've been quite eventful today in all aspects. But on the consolidation part, are you now more disposed to contemplate some larger opportunities in Italy? I think it's fair to say that the Golden Power rules in Italy are difficult to be enforced, given how government was vocal on supporting a deal in Germany for your credit? Is that an opportunity for you, you will contemplate now CreVal is, I think, digested and you never have been hiding the -- your ambitions in Italy. So any comments in there would be very useful.
Jerome Grivet: Thank you, Tarik. When it comes to what we can say regarding the level of profitability that we target for the full year of 2024, we are not going to change the target. We are close to the middle of November. What would be the point in saying that instead of EUR 6 billion-plus, we are targeting, I don't know, whatever number. So what we say is that we are going to be above EUR 6 billion. What we can say is that this is going to be despite this corporate tax surcharge in France, which is another element that we hadn't in mind probably back 3 months ago. But I think it's -- there's no point in trying to be more precise. And again, for many reasons, we will need somewhere in 2025 to elaborate new medium-term targets, and this is going to be the time when we are going to set new targets and provide new guidance and I think there's no point in trying to accelerate the calendar. When it comes to M&A, we never comment specific situations. So I'm not going to give you comments on what type of initiatives we can or cannot take in different countries, in different geographies, in different entities. It's clear that Italy is a very important market for us. It's clear that in Italy we have a setup with it, which is very, very comprehensive, very significant. We have many options. So we are permanently assessing the situation and trying to see what is relevant for us. But clearly, I'm not going to say in advance what I want to do. I prefer to comment what I did.
Operator: The next question is from Flora Bocahut of Barclays.
Flora Benhakoun Bocahut: Yes. The first question is on LCL, where you had a small gain in private equity in Q2 in the NII. And I think this quarter, you seemed to mention in the slide pack the positive extraordinary effect from the revaluation of an equity investment. So I was just wondering if you could quantify so we have a better understanding of the move sequentially in your underlying NII at LCL. And the second question is coming back to insurance. I just want to understand why you're rethinking the financial debt structure. What should we read into this, between the AT1 and the Tier 2? And maybe can you give us a few numbers the size of the Tier 1 versus Tier 2, so we can assess because you said it's a progressive shift, so it looks like there is more to come, so we can better approach where your revenues could come in the next quarters.
Jerome Grivet: LCL, it's clear that because this is the way we have to account for these elements within the NII, we have mostly revenues coming from the management of the balance sheet and from time to time some tiny elements that introduce little noise, I would say, in the level of NII. So NII is up around 2% Q3 over Q3, excluding the Home Purchase Saving Plan reversal of last year. But I would say that it's slightly down if we restate also from this revaluation of equity investments. I'm not saying that we will never have any other positive revaluation of different equity investments, so bits and pieces here and there, but if I really look only at what the balance sheet generated, it was slightly down Q3 over Q3 this year. Good element -- the positive elements that we see in the present situation is that we continue to see a progressive repricing of the outstandings on the loan book because we continue to book new loans at a rate which is now in the region of 3%, I would say, and this replaces amortizing loans that were yielding much, much lower. And the second good news is that there is and there seems to be a continuation of the acceleration in the production of new home loans in France, both within the regional banks and at LCL. So this is a potential of acceleration of the improvement of the yield of the asset book. And at the same time, on the liability part of the balance sheet, again, I want to insist on the fact that there is a stabilization of the breakdown of the different categories of customer liabilities. There is also a potential of reduction of the cost of certain categories of liabilities for term deposits. Clearly, the pricing is reduced -- is shrinking a little bit alongside with the level of rates on the market. And when it comes to regulated savings accounts, we don't know what will be the decision regarding Livret A, but there is a decision to be made beginning of next year. And mechanically, the Livret A level should be fixed probably at 2.5% instead of 3%. So this is clearly also a potential of improvement going forward. When it comes to the structure of the balance sheet of the insurance activities, what they did is that they repaid an old AT1 back in the fourth quarter of '23 for EUR 500 million. They've also bought back another AT1 beginning of September this year for EUR 750 million. We still have around EUR 500 million of old AT1s in the balance sheet. So we are not going to say when and how we are going to operate on this -- on the remaining parts of the AT1, but it's -- we've done the biggest part of it as of today.
Operator: The next question, sir, is from Kiri Vijayarajah of HSBC.
Kirishanthan Vijayarajah: It's Kiri. Firstly, can I just come back to your optimism on the French home loan demand. I mean, how much of that is reliant on further declines in 10-year, 20-year swap rates going into next year? Or is it more a case that the pipeline that you can see already feels pretty strong and that's going to come through regardless of where interest rates move in the short term? And I ask because rate expectations have been pretty volatile recently. So just some color on the quality of the mortgage demand and the pipeline there. And then the second question actually is still on sort of the volume side of things, more on your fleet leasing business. I know you've signed more partnership deals, have done bolt-on acquisitions. But my question is more on the next kind of 2 to 3 years what's the steady pace of asset growth or volume growth in mobility, fleet leasing. And also, it feels like a lot of the consolidation in that little subsector has now happened already. So when it comes to just sort of natural organic growth and if you find it harder to do bolt-on deals there, what's the kind of steady-state growth, if you like, that we should pencil in, in the fleet mobility side of the business?
Jerome Grivet: Okay. On the French retail, I don't know if the word optimism is really the right word, but I'm more positive, more constructive because simply I see the figures. And again, I mentioned that Q3 over Q2 there has been an increase in the production of new home loans of 73% at LCL and I think 20% at the level of the regional banks. Q3 over Q3, it was still down for the regional banks, but slightly up for LCL. So it means that we really seem to have gone over the low point of the production of loans on the market. And if I look at more, I would say, granular data, in September only it seems that both for the regional banks and for LCL, we are above the level of production that we had back in September '23. So all these elements are fueling the feeling that the low point is behind us. And in addition to that, if I analyze the way the market is behaving, rates have decreased. That's very clear. So that's better for the borrower. There is some stabilization of the price of homes. And the last point is that even if it took some time for them to acknowledge it, borrowers, potential borrowers, have benefited over the last 2.5 years of a certain number of nominal salary increases that is also fueling their purchasing capacity. So all in all, this explains why, I think, some elements are here for the home loan market to pick up. So we are going to continue to monitor the situation closely, but we are more positive even if probably optimism is a little bit strong in terms of wording the situation. In the car leasing business, the situation of the car market, especially in Europe, is not very clear as of today. There are some, I would say, industrial reasons and there are some also, I would say, regulatory reasons because a big part of the potential car buyers are a little bit puzzled by all the uncertainties regarding what is the right technology, what is the pace at which I have to change my car and so on and so forth. So it's clear that, for the time being, the prospect on the market are not very, very bullish. So up to now, we've been able to weather this difficult market, thanks to the development of the new agreements that we have signed with Stellantis. And actually, we are developing the portfolio because we started almost at 0 back 1.5 years ago and we continue to build up the portfolio. So this is going to fuel our growth going forward, but in a market that is not going to be very clear and very bullish rapidly.
Operator: The next question is from Joseph Dickerson of Jefferies.
Joseph Dickerson: Just one quick thing on consumer finance. I guess, I was a little surprised at the revenue yield there in the quarter. I would have thought that business is relatively liability sensitive. And you've talked before about front book margins being better than back book. Is there any change to those dynamics in consumer finance?
Jerome Grivet: Thank you. Well, in consumer finance, actually, the shock was probably back 1.5 or 2 years ago when there has been a very significant increase in the refinancing cost of the business because this business is mostly financed on the market. And it was not possible for us, but also for our competitors to pass to the customers the increase in rates as rapidly as we felt it in our refinancing. So we've accepted actually to significantly deteriorate the margin at the production of new loans. So it's been now improving regularly. The margin for the production of new loans has been stable Q3 over Q2, but still up 86 bps Q3 over Q3, which is far better. For the time being, we are not -- we've not completely recovered the  level of margin on the outstanding that we had back 2 or 2.5 years ago, but we still expect this to come over the course of the coming quarters. So it's definitely a business in which when rates -- market rates increase, it's not really possible, especially in countries like France where you have usury rate regulation to pass it immediately to the customer. Of course, when rates decrease on the market, we try as much as possible, depending on the competition, to keep this decrease in the cost of funding and to avoid passing it immediately to the customers.
Joseph Dickerson: Got it. Can I ask one more question on insurance?  So just on the crop claims, I mean, I guess if I look at the -- in the current quarter, for instance, there's been some flooding in various parts of the country, notably the South. I mean, is this the type of thing that we would expect to recur around these weather events? Or do you feel that through IFRS 17, maybe you've captured even the current weather situation in the present quarter?
Jerome Grivet: No, it's clear that the flood and the other weather events that we've had in France since the beginning of October, so in the course of the fourth quarter, has to be accounted for in the fourth quarter. Up to now, considering the type of events we've had, considering the fact that they were very concentrated in some very specific regions and considering taking also into account the reinsurance policies that we have, I do not foresee a massive impact on the fourth quarter numbers. But definitely, especially with IFRS 17, it was not so much the case before that under IFRS 4, where we could book some provisions to more or less smoothen the evolution of the cost of risk. But under IFRS 17, it has to be accounted for when it arrives. So it means that we've had some weather events in the fourth quarter that will be accounted for in the fourth quarter. But again, what happened in France has nothing to do with what happened in Spain, for example.
Operator: The next question is from Matthew Clark of Mediobanca.
Jonathan Matthew Clark: A few questions, please. Firstly, on the capital markets and investment banking division, there doesn't seem to be a whole lot of operating leverage coming through there. Can you give some commentary on why is this -- what you think is the appropriate level of operating leverage, but why are we not seeing costs more contained relative to revenues there? Secondly, in the consumer finance business, thanks for the commentary on the financing cost. But in terms of just the sequential revenue trends, you were up quite strongly in the second quarter and then gave most of it back again in the third quarter. Could you just comment on what's driving that quarter-to-quarter volatility? Was there some kind of lumpy item last quarter perhaps. And then third question is on the Worldline stake. So if you could just remind us how that's accounted for. Is it mark-to-market? I was a bit surprised that you called out the BAMI stake is affecting the Corporate Centre, but I don't think you mentioned the Worldline stake. So just some explanation of what -- if that hasn't impacted, why it hasn't impacted?
Jerome Grivet: Okay. At CACIB, it's true that this quarter, there has been an evolution of the cost base, which was more or less in line with the evolution of the revenue base, 8% for the revenue, 7% for the cost base, which is still positive jaws. But keep in mind that we are operating for the first 9 months of the year at 52.6% in terms of cost/income ratio. It's probably one of the best cost/income ratio for CIB activities in Europe. And we think, again, that being able to monitor the CIB activities within this region of, let's say, around 55% is quite coherent with the type of business that we're doing with the type of risks that we are taking with our balance sheet. And so we prefer to invest in the development -- in the further development of the business than trying to gain the additional 1 point of cost income in this activity. This is globally what we generally do. Once we've reached the level of cost/income that we think is coherent with the type of activity of a business line, then we prefer to allocate the capacities that we generate to the development of the business rather than to a further optimization of the cost/income, which may lead actually to some kind of reduction of the scope of the business. I think that somebody is not on mute. There is noise on the line. Second point on Worldline and BPM, actually both of them are accounted for in the Corporate Centre, but it happens that BPM is accounted for against P&L for some technical reasons that we are linked to the way we've built the stake, whereas when it comes to Worldline, it's not against P&L, it's against equity. So the valuation of the Worldline stake are, of course, taken into account, but impacting directly the equity, so they do not feed into the P&L. Thank you.
Jonathan Matthew Clark: And on consumer finance?
Jerome Grivet: Consumer Finance, excuse me, remind me your question.
Jonathan Matthew Clark: Just why the sequential quarterly volatility, it was up, I think, about 4% second quarter versus first quarter then down about 3% third quarter versus second quarter. Just wondering why those quarterly movements year-to-date?
Jerome Grivet: To be frank, I don't have the precise answer in mind, but bear in mind that within the revenues of the consumer finance division, you have, of course, the bulk of the revenues, which is made of interest revenues. So it's the difference between the cost of the refinancing and then the revenues coming from the loan book. But there's also some revenues linked to the services that we sell to insurance revenues and things like that. So this may vary over -- in one quarter over the previous one. So I guess, this is coming from this element and possibly from insurance revenues, but we'll have to check and the team is getting back to you in order to confirm this answer.
Operator: The next question is from Stefan Stalmann of Autonomous Research.
Stefan-Michael Stalmann: Just 2 small ones left. The first one is looking at the U.K. where you have the slow-moving train wreck of motor finance-related legal claims. Is that something where Credit Agricole is involved and exposed in any material way? And the second question goes back to insurance. I think you mentioned it, but I didn't catch the full explanation why the risk-weighted assets in insurance increased by EUR 3 billion. Was that a purely organic development? Or was there a capital injection?
Jerome Grivet: Thank you. Let me start with the insurance. It's very simple, the insurance activities generate RWA consumption in connection with the carrying value of Credit Agricole Assurance. So when they generate results that are kept within Credit Agricole Assurance, this is increasing the carrying value, which is translated into RWAs with this ratio of 370%. So every time they are making EUR 1 of profit in a single quarter, they increase the RWA by 3.7. And of course, every time they upstream their results to CASA under the form of a dividend, there is a reduction in the carrying value and so a reduction in RWA. So there's not been any capital injection, nothing of this kind, but simply the results of the quarter has generated this increase in the carrying value, plus also some elements in connection with unrealized capital gains on the portfolio of assets that are against the own funds of Credit Agricole Assurance. So it's simply internal to Credit Agricole Assurance. And every time they are going to upstream some dividend, it's going to reduce the carrying value and thus to reduce the RWA consumption. And generally, what happens is that they pay a yearly dividend in the second quarter and a first tranche of dividend in the fourth quarter. So what we expect is that in Q4 this year, we are going to reduce the carrying value of Credit Agricole Assurance and reduce the RWA consumption of this activity. In the U.K., we have a very tiny actually activity of motor finance, which is linked to the business that we have with Stellantis. So it's very, very tiny. So we are, of course, monitoring the situation closely, but we are absolutely not one of the Tier 1 or even Tier 2 players in this market. So it's not a very significant matter for us.
Operator: The next question is from Anke Reingen of RBC.
Anke Reingen: Somewhat different questions. I know on this call, we talked a lot about floods and crops and so on. And I just wonder, is there a scenario under which you would review your credit risk with respect to climate change and potential risk weighting as well as take in additional provisions?
Jerome Grivet: Well, we have to account for all the risks that impact our loans, our credit, so of course, we try as much as possible to take into account with all the technical limits of what we can do from this point of view. But we have to take into account the impact of the climate change on our customers and on their creditworthiness. So of course, this is an element that is taken into account by our teams -- risk teams. And in addition to that, I can mention that the ECB is looking at it very carefully. You may have seen that Mrs. Buch, the Head of the SSM, is insisting on the fact that she wants the bank to really take into account that element. And we have actually to provide the ECB with some materiality assessment of the impact of the climate change on our risks. So this is already something we take into account in the credit criteria when we grant a loan and in the assessment of the creditworthiness of the counterparts when we monitor the portfolio.
Operator: The final question is from Jacques-Henri Gaulard of Kepler Cheuvreux.
Jacques-Henri Gaulard: Last question, it doesn't bode well for my career, I tell you. But anyway, 2 questions. First, one of the big drivers of the stock price, I think, is really the big change of governance that you are facing quite soon. Maybe from where you sit, your perception about the fact that there would be any change of strategy or you would change the country priority or the businesses, knowing that clearly on the back of what you're reporting quarter-after-quarter when it ain't broken, don't fix it, as the English say. And the second question would be on LCL, you had this RWA migration you discussed. The cost of risk is up a little bit. Is there any tendency potentially of asset quality deteriorating a bit more than you thought in France over next year, actually?
Jerome Grivet: I don't have any crystal ball, so I'm not going to be able to say how the cost of risk is going to change in France. We are seeing in our accounts at LCL and in the regional banks what we are reading in the newspaper, i.e., an increase in the number of defaults, of delinquencies, of difficulties by different categories of corporates and SMEs. We are not seeing a wave of delinquencies and defaults. We are not seeing a massive increase of difficulties. It's concentrated in certain segments, especially in certain segments of activity, contractors in connection with what we've said about the residential loan market. In the last 2 years, it's also in connection with some self-employed professional segment, especially in agriculture. So some areas of -- pockets of risk, but no wave of deterioration that we would see as of now. So I'm not predicting what is going to take place next year. But really, it's not a wave. And again, we continue to have a cost of risk, which is moderate overall according to historical standards. I'm not in a position to comment the change in governance that you were referring to. I'm pretty confident in saying that I do not expect this to lead to a significant change in the strategy because the strategy that has been in place over the last 10 years is completely the strategy of the group, not only the strategy of one man. And so it's definitely the group that is going to continue to behave like it did not only in the last 10 years, but also in the last several decades. So I do not expect a significant change of strategy. And I don't think it's broken, so I do not think it needs to be fixed. Thank you. I think this was the last question, as you've said, Jacques-Henri. So thanks again for all of you for attending -- to all of you for attending this call, and talk to you soon. Bye-bye.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over, and you may disconnect your telephones.